Operator: Good day and thank you for standing by. Welcome to The Joint Corp Q3 2021 Financial Results Conference Call. At this time all participants are in listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]. I'd now like to hand the conference over to David Barnard, LHA Investor Relations. Sir, please go ahead.
David Barnard: Thank you, Lee. Good morning, everyone. This is David Barnard of LHA investor relations. On the call today President and CEO Peter Holt, will review our third quarter 2021 performance metrics and provide an update on the business. CFO Jake Singleton will detail our financial results and guidance, and Peter will close with a summary and open the call for questions. Please note we're using a slide presentation it can be found at https://ir.thejoint.com/events. Today after the close of market, The Joint Corporation issued its financial results for the quarter ended September 30 2021. If you do not already have a copy of this press release it can be found in the investor relations section of the company's website. As provided on Slide 2, please be advised today's discussion includes forward-looking statements, including statements concerning our strategy, future operations, future financial position and plans and objectives of management. Throughout today's discussion, we will present some important factors relating to our business that could affect these forward-looking statements. The forward looking statements are made based on our current predictions, expectations, estimates and assumptions, and are also subject to risks and uncertainties that may cause actual results to differ materially from the statements we make today. Factors that could contribute to these differences include, but are not limited to the continuing impact of the COVID-19 outbreak on the economy and our operations, including temporary clinic closures, shortened business hours and reduced patient demand. Our failure to develop or acquire a company owned or managed clinics as rapidly as we intend, our failure to profitably operate company owned or managed clinics, our inability to identify and recruit enough qualified chiropractors and other personnel to staff our clinics, due in part to nationwide labor shortage. Short selling strategies and negative opinions posted on the internet which could drive down the market price of our common stock and result in class action lawsuits, and the other factors described in risk factors in our annual report on Form-10K as filed with the SEC for the year ended December 31, 2020. As updated or revised for any material changes described in any subsequently filed quarterly reports on Form 10-Q or other SEC filings. We anticipate filing our September 30, 2021 10-Q on November 5. As a result, we caution you against placing undue reliance on these forward-looking statements and encourage you to review our filings with the SEC for a discussion of these factors, and other risks that may affect our future results or the market price of our stock. Finally, we are not obligating ourselves to revise our results or publicly release any updates to these forward-looking statements in light of new information or future events. Please note during the quarter ended September 30, 2021, the company identified an immaterial error in the calculation of deferred revenue related to wellness packages. Management assess the materiality of error and determined the impact on the company's condensed financial statements was not material. December 31, 2020 balance sheet has been revised to correct the error as of January 01, 2020. Management uses EBITDA and adjusted EBITDA, which are non-GAAP financial measures. These are presented because they are important measures used by management to assess financial performance. Management believes they provide a more transparent view of the company's underlying operating performance and operating trends than GAAP measures alone. Reconciliation of net income to EBITDA and adjusted EBITDA is presented in the press release. The company defines EBITDA as net income or loss before net interest, tax expense, depreciation and amortization expenses. The company defines adjusted EBITDA as EBITDA before acquisition related expenses, bargain purchase gain, net gain or loss on disposition or impairment and stock-based compensation expenses. Turning to Slide 3, it is my pleasure to turn the call over to Peter Holt.
Peter Holt: Thank you, David. And I welcome everybody to the call. During the third quarter, we continue to execute our long standing strategy to build a joint brand by opening franchised and corporate owned or managed clinics and retail setting. Additionally, we looked to opportunistically acquire creative franchise clinics and build new greenfield clinics that complement our corporate portfolio. As a result, we've advanced our revenue growth momentum. We continue to be on track with our goal of 1000 clinics in operation by the end of 2023. And we'll position our business for longer term expansion well into the future. Recently, we received a great deal of interest from new investors. I'd like to welcome them and summaries our investments rationale. The Joint is revolutionizing access to chiropractic care. Located in convenient retail settings, our clinics provide concerto style, membership based services. Patients benefit from attractive pricing and convenient hours without the need of insurance or appointments. Our growth strategies to build our brand, increase awareness of the efficacy of chiropractic care, deliver on exceptional patient experience and open more clinics. We're already the largest and most recognizable provider of chiropractic care in the country and yet we only account for approximately 2% of this highly fragmented nearly $18 billion chiropractic care market. As such, we have a significant opportunity to continue increasing our market share as we further refine and expand the market itself. Turning to Slide 4, I'll review a few highlights of our third quarter 2021 results. Later, Jake will discuss our financial results in detail. In Q3 2021, compared to Q3 2020, system wide sales grew to $93.4 million increasing 37%. Our comp sales for clinics have been open for at least 13 full months grew to 27%. Revenue grew 36%. Adjusted EBITDA increased to $3.3 million up 25%. And at September 30, 2021, our unrestricted cash was $19.5 million, compared to $20.6 million at December 31, 2020. Turning to Slide 5. Let's review our portfolio. Regarding clinic expansion, during Q3, we opened 33 clinics, 28 franchised and five greenfield up from a total of 21 opened and one closed in Q3 2020. This brings our nine-month totaled to 87 clinics opened, compared to 52 in the same period of 2020. Our clinic expansion strategy remains unchanged. We're accelerating our openings of new franchise clinics. And we're significantly increasing our corporate portfolio by strategically building greenfield clinics where we can open up new markets or enhance existing corporate clinic clusters and finally, by purchasing franchise clinics in strategic locations, there'll be a creative. During Q3, we opened five greenfield that extend our reach in Virginia, Southern California and Arizona. Virginia also increases our footholds in the new established corporate clinic presence in the southeast region. That said, it's important to remember that when Greenfields first open, they're expected to compress margins. As corporate clinics that contribute 100% of the top and bottom-lines and therefore when mature, they have a greater financial economic benefit compared to franchise clinics for the company. We continue to have exceptionally low clinic closure rates of less than 1% annually. This quarter, once again, we did not have any clinics close compared to only one closure in Q3 2020. In summary on September 30, 2021 we had 666 clinics in operation, consisting of 583 clinics franchise and 83 company owner managed clinics. Our portfolio mix remained at 12% corporate clinics and 88% franchise. At quarter end, we also had 295 franchise licenses in active development. Reflecting the increased interest in the franchise system, this figure continues to grow and compares to $282 million at the end of June 30, 2021. After the quarter closed in October, we opened an additional Greenfield in Arizona, bringing our total Greenfield count to 12 for the year. On November 1, we acquired four previously franchised and strong performing clinics in northern North Carolina, bringing our total corporate portfolio to 88 as of today. The acquisition was immediately created to the strengths of our corporate presence in the southwest region. The ability to create a formidable cluster to a new territory reinforces our decision to repurchase the regional developer territory at the beginning of the year. Turning to Slide 6. In Q3 2021, we sold 44 franchise licenses compared to 30 in Q3 2020. This brings our nine months sales total to 232 compared to 65 franchise license sales in the same period in 2020. Our franchise concept continues to attract sophisticated well capitalized franchisees. One such investment group in which a board member holds a minority interest owns three clinics, which is less than 1% of our total clinic count. Please note that all franchisees follow the same rules and the same fee schedules, and as independently owned and operated businesses keep their finances completely separate from that of the joint Corp. During Q3, 82% of the franchise licenses were sold by our regional developers who continue to accelerate our growth. As noted previously, all franchisees with a source by an RD or a corporate sales rep must meet our high criteria to be selected and must participate in a thorough due diligence process prior to approval. To understand the health and viability of our franchise system, an important measurement to track of the number of franchise licenses sold to franchisees new to the concept compared to existing franchisees. Each year from 2018 through today, over 50% of our franchise license sales have been to existing franchisees reinvest investing in the brand. This very healthy mix demonstrates the strength of our business model, and provides positive validation for new candidates interested in the franchise. At September 30, 2021 our 21 RD supported 70% of our clinics and their territories covered 59% of the metropolitan statistical areas, or MSAs. Our aggregate 10-year minimum development schedule for new RD territories established since 2017 is 693 clinics. Keep in mind that a portion of this clinic counts already opened, but this still provides a large foundation to feel our continued clinic expansion and sales growth. Turning to Slide 7, let's review our marketing efforts. In Q3, we launched a new educational campaign promoting the benefits of chiropractic care for kids during back to school season. Our efforts relied heavily on our PR and social media content to reach parents and school aged children with our message. We're pleased to sit here over 230 million media impressions from that campaign. In Q4, our focus will be on our holiday promotions starting with our November Black Friday package sale, and then moving to our December year-end membership promotion. These direct marketing campaigns offer our patients a limited time opportunity to save on their chiropractic care. Finally, I'd like to congratulate Jason Greenwood whom we just promoted to Chief Marketing Officer. Jason joined us almost four years ago and has been instrumental driver of growth during his tenure. As a talented strategist. He's leveraged our unique market position and skills to build successful marketing programs and elevate our performance. Jason's efforts continue to enhance branding, build culture, attract key talent, generate leads and increased our new patient conversion. I look forward to his ongoing contribution as we begin to unleash the power of this new IT platform, particularly from a marketing perspective. Speaking of which, I'll turn to Slide 8 to review our initiative to improve our technology infrastructure. Axis 1.0 the first innovation of our new IT platform was formally launched in July. Our goal was to migrate from our homegrown legacy system to a licensed scalable platform, which we accomplished successfully without major disruptions. Like any implementation of a system of this complexity and magnitude, we're currently addressing bugs and process improvements. As we plan for the next phases of our technology roadmap. I want to pause and thank our franchisees and our clinic users for their enormous effort to help us through this transition and their patients through this process. We look forward to introducing new innovations that will build on this platform and create increased value for our business. And with that, Jake, I'll turn it over to you.
Jake Singleton: Thank you, Peter. I'll review Q3 2021 compared to Q3 2020. Please remember, while the second quarter of 2020 was impacted by the pandemic, our swift actions enabled the joint to rebound in the third and fourth quarters of 2020. As a result, full-year 2020 delivered our strongest financial performance for any year-to-date. We're very pleased that 2021 continues our growth momentum. For Q3 2021 compared to Q3 2020 system wide sales for all clinics open for any amount of time increased to $93.4 million up 37%. System wide comp sales for all clinics open 13 months or more were 27%. System wide comp sales for mature clinics open 48 months or more were 21%. Revenue was $21 million up $5.6 million or 36%. Company owned or managed clinic revenue increased 38% contributing 11.6 $2 million. Franchised operations increased 34% contributing $9.4 million. Cost of revenues was $2.3 million, up 34% over the same period last year, reflecting the increase in franchise clinics, and the associated higher regional developer royalties and commissions, as well as higher website hosting costs related to the new IT platform. Selling and marketing expenses were $2.9 million, up 56% over the same period last year. This reflects the larger number of franchised and company under managed clinics. Grand opening expenses for our new Greenfield and the timing of the national marketing fund spend. Depreciation and amortization expenses increased for the third quarter of 2021 as compared to the prior-year period, primarily due to the amortization of reacquired development rights in December 2020 in January 2021. The amortization of intangibles related to the 2021 clinic acquisition and depreciation expenses associated with our Axis IT platform and Greenfield development. G&A expenses were $12.8 million, compared to $9.4 million, up 36%. The increase was primarily due to an increase in payroll to remain competitive in the tight labor market, professional fees and IT expenses to support continued clinic count and revenue growth. We've opened nine Greenfield since June and anticipate an increased pace of more Greenfield openings. As such, we continue to expect G&A as a percentage of revenue to increase over the next several quarters. Operating income was $1.3 million, including the aforementioned depreciation and amortization from reacquired development rights, clinic acquisitions or Greenfield development. This compares to $1.7 million in 2020. Income tax benefit was $614,000 compared to an expense of $76,000 in Q3 2020. The income tax benefit was primarily driven by the excess tax benefits from the exercise of stock options. Net income was $1.9 million, or $0.13 per diluted share, compared to $1.6 million or $0.11 per diluted share in Q3 2020. Adjusted EBITDA was $3.3 million increasing 25% compared to the same period last year. Franchise clinic adjusted EBITDA increased 27% to $4.3 million. Company owned or managed clinic adjusted EBITDA increased 43% to $2.8 million. Corporate expense as a component of adjusted EBITDA loss increased 40% to $3.8 million. On to Slide 10 for a review of our financial results for the nine months ended September 30 2021, compared to the same period in 2020. Revenue was $58.8 million, up 41% compared to $41.6 million, operating income was $5.3 million, up 97% compared to $2.7 million, net income was $6.9 million, up 174% compared to $2.5 million and adjusted EBITDA was $10.5 million up 95% compared to $5.4 million in the same period of 2020. Onto our balance sheet and cash flow review. At September 30 2021, our unrestricted cash was $19.5 million, compared to $18.5 million at June 30 2021 and $20.6 million at December 31 2020. During the first nine months of 2021, cash flow activities included $12.5 million provided by operating activities, which was offset by $11.2 million of investing activities, consisting of acquisitions, Greenfield developments and IT capital expenditures, as well as $2 million of net cash used in financing activities, primarily driven by the repayment of the Paycheck Protection Program loan in March 2021. On to Slide 11, for a review of our guidance for the full-year of 2021. Based on the strength of our performance and our expectations for the fourth quarter, we're raising our 2021 guidance for franchise openings, revenue and adjusted EBITDA. We now expect revenue to be between $80 million and $81 million. The updated midpoint reflects a 37% increase compared to 2020. We now expect adjusted EBITDA to be between $13 million and $14 million. Once again please note these expected results include the impact of the increased number of Greenfields that will be opened in Q4. The updated midpoint reflects a 48% increase compared to 2020. We now expect franchise clinic openings to be between 105 and 115. The updated midpoint reflects a 57% increase compared to 70% in 2020. We continue to expect company-owned or managed clinics, through a combination of both Greenfield openings and franchise clinic purchases to be between 25 to 35. The updated midpoint is 7.5 times greater than the four we opened in 2020. And with that, I'll turn the call back over to you, Peter.
Peter Holt: Thanks, Jake. Turning to Slide 12, I'm so very proud of our corporate staff and our entire community of franchisees, doctors and wellness coordinators. We've worked hard to foster culture that is truly committed to our mission of improving quality of life. We continue to prioritize staff recruitment and retention. This is important now more than ever given the macroeconomic labor shortage in the United States. And like others, we've experienced some challenges with attracting and retaining employees. But we've implemented a number of initiatives in this regard, including increasing the average salary for our doctors. Regarding our clinic expansion, we've already increased our 2021 clinic opening guidance twice this year. And we're on pace to meet the higher target as well as our 2023 year-end goal to open 1,000 new clinics, which is just a stepping stone to future development. Using only the demographics of our existing patient base and a current MSA data, we've identified a minimum of 1,800 targeted clinic sites. The keyword to remember is minimum, as we have significant opportunity to exceed beyond these projections. One example of our expansion is on the Army & Air Force Exchange Service. Just last quarter, we announced our partnership with the exchange to bring chiropractic care on base to better serve members of the military community. Our initial plan included three clinics on Air Force bases in Arizona, Florida and New Jersey. The exchange is so pleased with initial progress in the early interest from service members that we've already started expansion plans for additional bases. And this is just one element of the opportunity to have nearly $18 billion market. Today our annualized revenue represents approximately 2% of market share, and we're optimistic about capturing additional share for the following reason. First, chiropractic is still a fragmented market, with change accounting to just 4% of market share compared to the 12% in more developed dentistry professions. Second, the average clinic of The Joint significantly outperforms the average solo practitioner on both the top and bottom lines according to industry research. Third, we benefit from the increasingly effective systems in marketing, operations, real estate and technology as we continue to attract sophisticated franchisees who are accelerating our national footprint. Fourth, we know that only 50% of the U.S. population knows what chiropractic is, with over a quarter of our new patients new to chiropractic itself is a strong validated of The Joint's leadership role in educating the consumer about the efficacy of chiropractic care. These efforts are growing overall market. Finally, all this is further amplified by the fact that our patient base skews considerably younger than the traditional insurance based providers. In fact, the vast majority of our net patient growth is derived from Millennial and Gen Z consumers, we successfully tapped into the next wave of chiropractic patients. Our growth indicators continue to accelerate. And these trends fuel our national footprint expansion as well as our confidence in our ability to drive long-term growth and stakeholder value. We're ready to begin the Q&A.
Operator: Thank you. [Operator Instructions] And your first question comes from the line of Jeff Van Sinderen from B. Riley. Your line is open.
Jeff Van Sinderen: Hi, everyone. First, let me say terrific results. I guess one thing that I wanted to see if you would touch on, I know that you're still sort of in debugging mode or maybe the end of debugging mode on the new software platform. And maybe you can speak a little bit more about kind of the next steps, functionality components and time frame to layer on some of the capabilities that you're planning on that new platform?
Peter Holt: Absolutely. Jeff, thanks for the kind words. Always a pleasure. And it's absolutely the right question. We truly believe that the increased technologies is really the foundation for our future. Everything is being more and more inspired by the technology that drives our business and how we make consumer choices. That -- right now, as you've heard us talk a lot is this the lift and shift, we're just trying to get the bugs worked out. We're trying to move from our homegrown platform to this new much more secure platform with licensing CRM. But just some of the things that we're talking about is from a patient's perspective is the creation of a mobile check-in, the creation of a patient portal, the idea to do marketing on to the singular individual, because of the data that we have about them. This is chiropractic care, which is the medical service, which means that we have an enormous amount of information on every one of our patients, and that we can use that information to understand consumer habits, how to be more effective in our marketing to him, that ultimately, we see the creation of a data warehouse that really allows us to utilize this extraordinary value of the data that we're collecting. But this is going to take time. These are not Q1 initiatives. This is where we see going right now. We are continuing focus on the stability of this new platform, and laying out the future with a technology roadmap.
Jeff Van Sinderen: Okay, great. And then I'm just curious as a follow up, if you can just touch any changes to your marketing and advertising promotional plans around holiday 2021 versus what you did in holiday 2020?
Peter Holt: I think that what we have been finding is a greater and greater response from our patients to these two promotions. As you know, we don't have a lot of promotions each year. These are our two major promotions, which really drive our fourth quarter performance. Jason and his team has taken best practices across the network. They're ensuring that we have 100% participation in the program themselves. They have increased some of the tools that we're using to market the program. We have dedicated additional dollars from a media side to support these two initiatives. And so we're going in with an expectation that we will see a consolidated performance of these promotions, compared to what we did last year.
Jeff Van Sinderen: Excellent. Thanks for taking my questions and continued success.
Peter Holt: Thank you.
Operator: And your next question comes from the line of Brooks O'Neil from Lake Street Capital. Your line is now open.
Unidentified Analyst: Hi, guys. This is Charles Spangler [ph] filling in for Brooks, and thanks for taking my question. One question I have is, are you seeing any issues with opening new clinics, like any supply chain issues, or staffing shortages, or anything of that nature?
Peter Holt: Yes, as it relates to supply chain, as you know, the clinics are relatively simple built out. So we haven't experienced anything as it relates to the supply side. As we look at the real estate side, we continue to target very high trafficked areas, those retail leases that we target are still in demand. So we're working through that. So outside of those two things, as Peter mentioned, in our remarks to a tight labor market for everybody out there. So that's why we're dedicating such amount of time and resources to the recruitment and retention of our doctors. But outside of that, we haven't seen too much disruption.
Unidentified Analyst: Thank you. And one follow-up I have is you spoke about expansion plans to military bases, and with the promising responses you've been getting, what can we expect for the rest of the year and next year in regards to expansion?
Jake Singleton: Well, we've originally -- we announced this last quarter that we signed an agreement with the army and air force exchange to put three clinics on base. They have 3,500 bases around the world, not that we would be putting a clinic on every one of those bases. But what we're seeing is more and more interests in both the military personnel themselves and administration in the power and efficacy of chiropractic. So there's a growing demand of utilizing chiropractic services by the military. And so that we've already got the agreement for the three bases that we're in to kind of discussions, as I mentioned, to increase that to a number of bases going forward. We haven't given a final amount, but we would expect probably to have at least one or two of those bases open by year-end of the three that we've already contracted to open and will continue to accelerate growth as we work with an army to get these open.
Unidentified Analyst: Thank you. And congrats on the great quarter.
Jake Singleton: Thank you very much.
Operator: Thank you. Your next question comes from the line of Ryan Kimbrel from Craig-Hallum. Your line is now open.
Unidentified Analyst: Hey guys, I'm [indiscernible]. And I also want to extend my congratulations on great performance this quarter. I want to ask what have you seen in terms of customer behavior? The Joint has clearly been a great outlet for consumers during the pandemic. But now that people are more or less thinking beyond the pandemic. Have you seen any change in behavior have discretionary dollars shifted elsewhere at all?
Jake Singleton: Yes, Ryan, great question. And thanks for the remarks. As far as consumer behavior, as I look at some of our KPIs. We're seeing great strength in our new patient attraction. We continue to have one of the strongest years we've seen as it relates to attracting those new patients. On top of that, we're seeing strength in our conversion metrics, meaning that we're converting them on to the subscription, or wellness package side. So those are two really strong indicators. As we look at patient interest in our model, I think we continue to be incredibly well positioned, as it relates to being in the health and wellness space, attracting the interest from millennials, which is our highest demographic base. So we're seeing great strength there. I don't know, Peter, if you'd add anything?
Peter Holt: No absolutely. And, Ryan, listen, look at the comps. I mean, that is a greatest exercise to look at what impact you're having in terms of what growth. And you know that to be posting 27% cons. Okay, now, compare that to 53% in Q2 2020 and feels like, oh my gosh, what's going on. But, I mean, any retail concept that is consistently posting in 20% or more comps, suggest to you that you've got a lot of happy customers. And so what we have is our existing patient base, who's coming in and using us more often. And as Jake was saying, we're seeing more and more new patients open that door for the very first time.
Unidentified Analyst: Okay, and then if I can touch on what you just commented on, Peter. You guys lapped up 15% comp fairly easily in Q1. And the same could be said from the 12% here in Q3. Can you tell us how you're thinking to Q4 and maybe the first half of the next year, if you tell that far ahead?
Peter Holt: Well, we don't guide on comps. So I don't have an exact number to give you. What I would say is really kind of conversation we've been having is that we really have seen your momentum pick up, we were impacted by the pandemic. If you kind of look at it in 2020 obviously, we did have the 15% in Q1. And that really was two and a half months of our almost 25% comps per quarter that was really punctured by that two weeks of COVID. Then when we went to Q2, that was our worst quarter, I think what's the rest of the world it was the nadir of the pandemic, when no one knew what to expect and that our comps for the first time negative is 6%. Then we saw him come back up to 12% in Q3, 16% in Q4, Q1 comps were 21%. Now Q2 2021 was of course impacted by the low level of last year. But still 33% comp says to you that the momentum is back. And then okay, we're settling down a little bit to that 27% comps for this quarter. Could I project that going forward quarter-after-quarter? I think that's probably high. But I would say that we're continuing to see the momentum that's driving the growth of this organization.
Unidentified Analyst: All right, thank you. Congrats again, guys.
Peter Holt: Thanks a lot.
Operator: Thank you. Your next question comes from Matt Bullock from Maxim Group. Your line is now open.
Matthew Bullock: Hi, thanks for taking my questions and congrats on the great quarter. I think you mentioned that right now you maintain the 12% corporate clinics and then 88% franchise clinics. I was hoping you could comment on whether or not you expect this mix to shift as you accelerate some of these Greenfield openings or if the franchise openings are just happening too rapidly. And then maybe if you could just comment on what you see as your ideal ratio, once you reach that 1,000 clinics mark and beyond?
Peter Holt: Yes, Matt, that's a great question. You're right. And I think you had both sides of it, we are going to continue to accelerate our corporate openings. But as I think about the overall mix, it's going to be hard to keep pace with those franchise openings. We continue to set the bar that relates to continued interest in this model, our franchise sales has set another record for this year because I look at that strength, and I look at how am I going to shift that mix. As we accelerate, you might see a short-term up tick. But at the end of the day, the franchisees are going to be opening them is just as fast. So we'd love to see that momentum. As to where we see an ideal mix, we haven't provided that forward guidance. What we know is that based on the unit economics, it makes sense for us to continue to develop these units alongside of our franchisees. So we'll continue to stay true to our dual model where we're going to continue to increase our corporate portfolio. We're going to continue to expand through the franchise model. So we'll see where that goes in the future but both are continued strategies for us.
Matthew Bullock: Excellent, thank you. I'll hop back into queue.
Operator: Thank you. [Operator Instructions] And there are no question at this time. Presenters, please go ahead.
Peter Holt: Thank you, Lee. Thank you all for your time today. We're honored to be recognized last week by Fortune 100 Fastest Growing Companies ranking us as number three, and through the end of the year, we'll present at Craig-Hallum Virtual Alpha Select Conference, the D.A. Davidson Annual Holiday Beauty and Wellness Bus Tour, and the Roth Deer Valley Conference. Given how much we talked about our doctors of chiropractic today, I want to share a story relayed to me by a D.C. who has recently joined our ranks. And I'll paraphrase what he said. I've been a Doctor of Chiropractic for 10 years, I found my independent clinic in Pennsylvania dedicated myself to my patients and my business. It took me seven years to build my practice to a comfortable level. And I was very proud of what I built, but is the hard work and took a lot of time which knocked my work balance out of alignment, pun intended. Recently, my wife was offered a great opportunity to Atlanta, and we decided to move. I love being a Chiropractor, but I didn't want to make the same sacrifices that it takes to build a successful practice. I interviewed at many clinics and chose The Joint due to the great care and the support they provide for both the patients and the doctors. I'm now the lead doctor at The Joint clinic which enables me to do my best work and also have a home life and vacation. I'm grateful for the opportunity that the Joint has given to me and my family. Thank you and stay well adjusted.
Operator: Ladies and gentlemen, that concludes The Joint Corp Q3 2021 financial results conference call. You may now disconnect. Thank you for your participation.